Operator: Good afternoon. My name is Chloe and I will be your conference coordinator today. At this time, I would like to welcome everyone to the BSR REIT First Quarter 2025 Financial Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question-and-answer session. [Operator Instructions] Thank you. I would now like to turn the conference over to Dan Oberste, President and Chief Executive of BSR. Please go ahead, sir.
Dan Oberste: Thank you, Chloe, and good day everyone. Welcome to BSO REIT's conference call to discuss our financial results for the first quarter ended March 31, 2025. I'm joined on the call by Tom Cirbus our Chief Financial Officer; and Susie Rosenbaum, our Chief Operating officer. I'll begin the call with an overview of our Q1 performance and highlights. Tom will then review the financials in detail. Susie will provide a quick operational update and I'll conclude by discussing our business outlook. After that, we'll be pleased to take your questions. To begin, I want to remind listeners that certain statements about future events made on this conference call are forward-looking in nature. Any such information is subject to risks, uncertainties, and assumptions that could cause actual results to differ materially. Please refer to the cautionary statements on forward-looking information in our news release and MD&A dated May 7, 2025 for more information. During the call, we'll reference certain non-GAAP financial measures, although we believe these measures provide useful supplemental information about our financial performance, they're not recognized measures and do not have standardized meanings under IFRS accounting standards. Please see our MD&A for additional information regarding our non-GAAP financial measures, including reconciliations to the nearest IFRS accounting standard measures. Also, please note that all dollar amounts are denominated in U.S. currency. Our operational performance in the first quarter continue to exhibit strike. We generated growth in same community revenue and NOI despite the residual impact of supply prevalent in U.S. growth markets these past two years. These results highlight the high quality of our portfolio and the expertise of the BSR management platform. For the quarter, same community revenue increased 0.6% compared to Q1 last year. Same community NOI increased 2.3% and weighted average occupancy closed the quarter at 95.9%, representing a 60 basis point increase versus Q1 2024, and 30 basis points sequential increase versus Q4 2024. In addition, our resident retention increased 460 basis points year over year, which together with occupancy levels reflects our strategic focus to own newer best in class properties situated in desirable submarkets run by skilled operators. Our results demonstrate that we are well positioned to outperform as rental market conditions improve. As we have discussed for several quarters now, we are on the precipice of a strong expected recovery in rental rates in the next 12 to 24 months, as the burst of new supply that came online in 2023 and 2024 should be fully absorbed throughout 2025. We took numerous steps in the quarter that put us in a stronger position to benefit from improving market conditions. Most notably, of course, was our strategic disposition of nine properties to AvalonBay, which we announced in February. We completed the first phase of the disposition on March 31 and the second phase subsequent to quarter end on April 30th. The combined sales price of $618.5 million was comprised of $380 million in cash and the elimination of 15 million Class B units, which represented approximately 75% of the then outstanding total Class B units. The sale of these fully stabilized and optimized properties at an attractive price unlocked value which would've otherwise been embedded in these assets, generated capital for redeployment and positioned the REIT for future growth. The transaction also significantly reduced the ownership of the legacy Class B unitholders and resulted in the elimination of certain consent and other rights available to these unitholders. As you can imagine, we have received significant interest surrounding the transaction with AvalonBay. From a high level, I could say this transaction was incredibly complex with few precedents, completing successfully required the right partners working proactively together. AvalonBay is a premier U.S. public owner, managed by an absolutely exceptional team and led by a CEO in Ben Shaw of the highest virtue. Our contributing investors demanded no less. If you want more information regarding the strategic disposition and how it benefits unitholders, please view our news release dated February 27, 2025, the transcript of our conference call that same day and/or the material change report filed with the Canadian regulators on SEDAR. All of these items are also available through the REIT's website. That wasn't the only notable event on the acquisitions and dispositions front in the first quarter. In January, we acquired the Venue Craig Ranch Apartments, a 277 unit apartment community in the McKinney submarket of Dallas-Fort Worth for $61 million. In addition, in March, we sold Bluff Creek Apartments, a 316 unit 1984 vintage apartment community in Oklahoma City for $28 million, which was an 80.4% premium to our IFRS value at the end of Q3, 2024 before we increased the value to the purchase price at the end of Q4 2024. These transactions highlight that market conditions are selectively beginning to favorable for external growth and asset rotations, while allowing us to accretively reduce our exposure to non-core markets. All told, the reclose the quarter with nearly $150 million of liquidity and is in the strongest capital position that we have ever been to pursue accretive growth. Combined with our continued strong operating performance, our best-in-class team and platform, and a gradually improving rental market outlook, we believe the future of BSR is very exciting. One of the other exciting new developments of the quarter was the onboarding of our new CFO, Tom Cirbus. Tom joined BSR in mid-March following a career in investment banking where he worked across the real estate coverage and equity capital markets. His investment banking and capital markets experience have already proven to be an ideal complement to our team and will be particularly welcome as we enter a period of significant capital redeployment and growth. I will now invite Tom to review our first quarter financial results in more detail. Tom?
Tom Cirbus: Thanks Dan. I'm pleased to be speaking on a BSR earnings call for the first time. Last night, we reported Q1 FFO and AFFO per unit of $0.23 per unit and $0.22 per unit respectively. As Dan alluded to, the results reflect solid operational performance from all of our team members, which Susie will highlight more of offset by increases in financing costs. Our first quarter results were driven by the following key items. The same community revenue increased 0.6% in Q1 2025 versus Q1 2024. The increase primarily reflects an increase in other income driven by enhanced resident participation in our credit building services and higher utility reimbursements. Same community NOI increased by 2.3%. The increase reflects the higher same community revenue and a decrease of $0.1 million in controllable operating expenses, primarily related to a $0.2 million decrease in administrative expenses, offset by a $0.1 million increase in payroll expenses. Furthermore, real estate tax expense declined $0.1 million related to property tax refunds in excess of tax increases, and the cost of insurance declined $0.1 million over Q1 of 2024. More broadly, total portfolio revenue and total NOI increased 3.6% and 0.8% versus last year respectively. In addition to the same community changes I just described, the broader increases were driven by the contribution of acquiring Venue Craig Ranch Apartments, as well as the continued stabilization of Aura 35Fifty where we completed development in December. These factors were partially offset by asset level performance from properties we sold towards the end of the quarter. Perhaps most notably, the total cost of financing increased to $9 million from $7.7 million in Q1 2024. From a consolidated FFO perspective, the increase primarily relates to the interest expense associated with the development of Aura 35Fifty, which was previously capitalized for the majority of 2024 prior to the completion of construction in the fourth quarter. During the quarter, the REIT declared cash distributions totaling $0.14 per unit, a 7.7% year over year increase. Turning to our balance sheet, the REIT’s debt to gross book value as of March 31, 2025 was 45.3%. A reduction of 120 basis points from 46.5% at the end of December, 2024. Total liquidity was $148 million as of March 31, including cash and cash equivalents of $84 million and $64 million available under our revolving credit facility. We have the ability to obtain additional liquidity by adding properties to the current borrowing base of the facility. During the quarter, we redeemed 100% of our convertible debentures, which previously carried a principal balance of $41.5 million and which resulted in interest savings for the REIT throughout the quarter. In addition, we refinanced the $39 million construction loan related to Aura 35Fifty. Both of these refinancings were funded through the use of our credit facility. All sold as of March 31, the REIT had $770 million of debt outstanding at a weighted average interest rate of 3.8%. It is important to note that 100% of our debt is either fixed or economically hedged to fixed rates. Subsequent to quarter end and in connection with the closing of the second tranche of our AvalonBay transaction, we received an additional $193 million cash consideration, which was primarily used to repay property level debt. This included the repayment of our only two debt maturities, which were slated to come due in 2025. The REIT now has no remaining 2025 maturities. Also, subsequent to quarter end, the REIT opportunistically entered into a new $150 million notional five-year forward, SOFR swap agreement at a rate of 2.88%, which is set to take effect on July 1, 2025. The counterparty has an optional termination right after two years. This swap is designed to partially replace the $230 million of swaps, which carry a weighted average fixed rate of 2.05% that we expect to be called out of in June and July of this year. It should be noted that this market-based trade out will result in sequential increase in our financing costs through the balance of 2025 relative to 2024. Finally, as you saw on our press release last night, we are not releasing guidance for 2025 at this time. With the recent closing of the AvalonBay transactions and with the timing of full capital redeployment, impossible to predict, there are simply too many moving pieces right now for us to confidently provide proper guidance. We do intend to reinstitute guidance once those and several other items become more clear. I will turn it over to Susie for a few comments on the state of operations across the portfolio. Susie?
Susie Rosenbaum: Thanks Tom. To quickly review at quarter end, our portfolio consisted of 8,008 apartment units in five markets. After the closure of the AvalonBay transaction our portfolio consists of 6,164 apartment units in five markets with 88% of our NOI being generated from Houston, Austin, and Dallas. Obviously, these statistics will change again as we redeploy the proceeds from our recent asset sales into our core markets. During the quarter, though a lot of attention was clearly focused on the dispositions announced in February, we continued our strategic leased up strategy of Aura 35Fifty, as well as the integration and initial value add projects related to Venue Craig Ranch. As of the end of April, Aura 35Fifty was over 50% leased. On the leasing front, effective new lease rates decreased 7.3% in Q1 a 100 basis points sequential improvement from the previous quarter. Renewal rates continue to remain positive, increasing 0.1%, and in total the effective blended lease rate decreased 3.2%, representing a 40 basis point improvement from Q4. In April, excluding the assets sold as part of the AvalonBay transaction, effective new leasing rates declined 5.2% and renewal rates increased 1.7%, creating an effective blended rate decrease of 1.2%, which is a 200 basis point improvement over Q1. In May, we began the rollout of our bulk internet initiative. Bulk internet is simply contracting internet services with one provider for the entire apartment community. Once the 18-month ramp up period is completed, we anticipate approximately 1.3 million in additional FFO resulting from the initial six properties identified as part of this project. As Dan mentioned, same community occupancy closed the quarter at 95.9% and retention at nearly 57%. We are proud of our team members working very hard every day on the ground to create an attractive community where people want to live. Ensuring our residents have a fantastic experience when they choose to rent from us and work to retain our residents for as long as possible. These core initiatives drive our occupancy higher and maximize revenue for our unitholders. As further testament to exactly that, J Turner Research recently released its 2024 top reads by online reputation report. I'm proud to report that BSR was once again the number two overall rated public REIT for online reputation and ranked number one in the customer service communication and cleanliness categories. This independent third-party report is yet another endorsement of our team, the operating platform, and the quality of the assets we own. I will now turn it back to Dan for his closing remarks.
Dan Oberste: Thanks, Susie. We've obviously been busy on the corporate development front as of late. We have completed a very complex two-phase disposition, and I appreciate the patience of our investors as we work through this value enhancing process. Armed with the cash realized from our recent sales, BSR is back in a position to achieve what we do best. Deploy the proceeds in the properties in our core markets that offer higher potential returns for our investors. We currently see many attractive growth opportunities in the Texas Triangle, and we are excited at the prospect of adding new properties to our portfolio and applying the BSR platform to truly maximize their value. As you're aware, we were not active on the acquisitions and dispositions front from 2022 to 2024, as cap rates in our markets were simply not adjusting in line with increased borrowing costs. We remain patient throughout that period and that patient is now paying off, as transaction market conditions have improved and we have unprecedented dry powder to capitalize upon them. Obviously, I can't comment on any specific transactions at this point. What I can say is that we are focused on relatively new construction assets that are in the path of growth, with a focus on Houston and Dallas. We are actively engaged in discussions with potential sellers and fully expect to be adding to our portfolio in the coming months. This is happening as the outlook for rental rates in our core Texas markets becomes increasingly positive. The amount of new rental supply that came online in ‘23 and ‘24 was truly unprecedented, and there is no denying its impact on rental rates. But the rapid absorption of that supply has been just as notable. In 2024, Dallas, Houston and Austin ranked one, two, and three respectively in the absorption of new supply in the United States. The new supply surge ended last year, and as I noted, we expected to be fully absorbed in the second half of ‘25. And looking ahead, there are minimal new deliveries coming online in our markets. Higher interest rates, significantly impacted development plans for new billings, and there's simply very little of note in the pipeline. Meanwhile, our markets continue to attract new reside as people flock to Texas in search of jobs, lower taxes, and affordable housing. Even with some slowdown in net domestic migration to Austin, Dallas, and Houston in ‘24, they were all ranked among the top seven U.S. markets in terms of population growth, and they're forecast to remain in the top seven over the next few years. To put some numbers to how compelling, these dynamics are in our markets. In ‘24, the MSA of Austin, Texas grew by just over 58,000 people. That is more population growth than the year over year growth in 28 states across the United States, more than the bottom 20% of state population growth combined, and more than double the population growth in the country's second most popular MSA, Los Angeles over that same period. We love these dynamics. As our core markets’ populations continue to increase and we gradually move into a rental supply deficit we believe rental rates are poised for significant growth in ‘26 and ‘27, and we think there's plenty of room for growth. Currently, annual rent is a percentage of median household income averages slightly above 20% in our three core markets. That compares to nearly 35% in the major gateway markets in the U.S., which are not growing anywhere near as fast as our markets. Put it all together and we expect BSR REIT to generate significant organic and external growth in the future as we continue to allocate capital into buckets of return that are most accretive for our unitholders. That concludes our prepared remarks this morning. Tom, Susie, and I would now be pleased to answer your questions. We'd like to respect everyone's time and complete our call within an hour while giving all of our analysts the opportunity to ask a question. So please limit your initial questions to one and then rejoin the queue if you have additional items to discuss. If we don't have time to address everything, we can respond to additional questions by phone or email afterwards. Operator, please open the line.
Operator: Thank you. Ladies and gentlemen, we will now conduct the question-and-answer session. [Operator Instructions] Your first question comes from the line of Jonathan Kelcher from TD Cowen. Your line is open.
Jonathan Kelcher: Hi there. Just for my one question here, just on acquisitions. I guess Dan, you talked about really looking at Houston and Dallas, and then at the end there you’ve kind of highlighted Austin as a huge population grower. Just curious as to your thoughts on Austin and then I guess related do you guys have an actual acquisition target for 2025 for redeploying your capital?
Tom Cirbus: Yes, Jonathan, I'll answer the last question first. You know, we feel comfortable, and I think we talked about it in March a little bit, we feel a little bit more comfortable now guiding on a range of $190 million to $250 million of acquisitions for the calendar year. So, that's answer number one. Now, back to the highlight on Austin. What we see in Austin is a fast-moving, fast-growing city. The difference right now between Austin and Houston and Dallas is that the cap rates for Austin in the mid-fives or the mid-fours are lower than our cost of capital. And I think historically, we've said that we like about 100 basis points spread between our unlevered return, which is our cap rate and our cost of credit in this case. As evidenced by that swap, you hit a swap at 288, you add your credit cost to it and you're at about a 4.5% credit cost. You really don't want to go into the city of Austin right now and buy a 4.5 or a 4.7 cap with that capital cost. And that's the lead that we're seeing on cap rates for good product in Austin, Texas. We still think it's an incredibly healthy market, but we think that the cost of the next two or three years growth at a 4.5 to 4.75 cap is probably a little bit more expensive than a relative to Dallas and Houston, where we see a higher cap rate environment and probably the same organic growth profile set up for the next three years and a little bit smoother organic growth profile for the next three years. So that's why we probably rank our acquisition targets right now from a city standpoint is Houston, Dallas, and then Austin.
Operator: And your next question comes from the line of Jimmy Shan from RBC Capital Market. Your line is open.
Jimmy Shan: Just to follow up on the capital redeployment. So, you do have -- Houston is certainly the biggest slice of the pie right now. I guess question is, how comfortable are you in adding more to your exposure to Houston? And then really the second question is just on Austin. You mentioned the cap rates are tighter, yet the growth profile is not dissimilar than Houston and Dallas. And I'm wondering why is that?
Dan Oberste: Yes, in my view, it's a good question, Jimmy. I'll answer again the last one first. We're seeing a lot more international funds flow relative to the size of the market into Austin. So, we're seeing just compound interest in Austin. Not unlike other, I'll say mid-size, fast growing cities like Nashville or Phoenix. You're seeing more capital flow in than it, than product available for the market. And that's to us compressing the cap rate or distorting negatively the going in cap rate for acquisitions in that market. That makes a lot of sense. Then you compare that over to Dallas for example, while Dallas remains the number one multifamily market for transaction volume in the United States. It's 9 million -- 9.5 million people the total -- in 2024 inventory in Dallas is about 900,000 apartment units. And so, you have a whole lot more capital in Dallas chasing acquisitions, but you have a market in Dallas that's probably 3x bigger to 4x bigger than that of Austin. So, to us there's just -- there's still just pound for pound too many dollars chasing deals in Austin and that's creating that cap rate compression. Even though, the look through is the growth profile looks similar to us in the next three years in Dallas, Austin, and Houston. And then, I'm sorry could you repeat your first question, Jimmy?
Jimmy Shan: I was just saying the Houston is already a big piece of your portfolio and how comfortable are you in adding more to that to Houston?
Dan Oberste: Short term, we're fine. I think post deal, we have about a 40% plus concentration in Houston, making it our biggest market. I think long term we like to build back the presence in Dallas. We definitely took a big chunk out of our portfolio concentration in Dallas with the recent transactions. We like Dallas being our largest market, we'll selectively buy, but right now we see the opportunity in Houston as a setup for the next two to three years. With that said, we're seeing opportunities in Dallas. We just like some of the opportunities near term we're seeing in Houston a little bit more than we like the pricing in the opportunities in Dallas. So, we think Dallas might be back half of the year medium term strategic build on portfolio. And we would be okay and comfortable increasing our presence in Houston in the short term and then growing out of that concentration over the long term.
Operator: [Operator Instructions] Our next question comes from the line of Matt Kornack from National Bank Financial. Your line is open.
Matt Kornack: Hey guys. Just wanted to quickly touch on the rental market. I know we're awaiting the inflection and the improvement in the back half of this year and into 2026, but can you give us a sense as to the trajectory you'd expect over the next, call it, six to eight months? And in terms of, I know the turnover spreads were negative, you're kind of flat on renewals, but trying to get a sense as to how the inflection takes place and what it looks like and where you think on a same property basis, revenues and NOI will go because obviously there was a margin improvement I think from for a few expenses this quarter as well.
Susie Rosenbaum: Hey, Matt. First, I'll address the trends you asked about, and the trade outs, right? So Q1 was slightly better than Q4 but very close. I think, as I said last quarter, that's what you should expect, but April is looking significantly better. As I noted in my comments earlier, we're already at a blended rate decrease of 1.2% compared to the 3.2 we had had in Q1. May, it's super early, but it's looking good too by comparative purposes. Other question was regarding the same community NOI projections for the year, as it stands now post the AvalonBay transaction, and that's still pretty much the same as I said last quarter as well. I think that's going to look 1% NOI better, maybe 1% worse. Let's just call it flat. But I think the key here, right, the real story is what we expect to happen in the latter half of the year. The trade outs are going in the direction I expected them to already, and I feel more confident now saying that certainly in the latter half of the year, the second half of the year is where we're going to see them go back positive again.
Operator: Our next question comes from the line of Dean Wilkinson from CIBC. Your line is open.
Dean Wilkinson: Thank you and good afternoon, everyone. Susie, just following on Matt's question there and maybe from a bit of a different angle. On the trade outs, is there any differential in terms of rate for term like what I'm trying to get to is, are you seeing shorter term leases with sort of a higher rate or do you offer a differential, if someone locks in for say, 12 months, 18 months and kind of is there a spread on that metric?
Susie Rosenbaum: So, our short-term leases are a very, very small percentage of our portfolio. I think like as of Q1, it was only 4%. Those are less than 10 months. However, we do get a larger spread on them. But again, they're not that many of them.
Dean Wilkinson: And has that been static over time?
Susie Rosenbaum: It's been about 4% for the last 18 months.
Operator: There are no questions at this time. Please continue.
Dan Oberste: That concludes our call today. Thank you all for joining us and we look forward to speaking with you again in the summer following the release of our second quarter results.
Operator: Ladies and gentlemen, this concludes your conference call for today. Thank you for participating. You may now disconnect.